Operator: Good morning and welcome to the Kansas City Southern First Quarter 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. It is now my pleasure to introduce you to Ashley Thorne, Vice President of Investor Relations for Kansas City Southern. Please go ahead.
Ashley Thorne: Thanks, [Rako]. Good morning and thank you for joining Kansas City Southern's first quarter 2021 earnings call. Before we begin, I want to remind you that this presentation contains forward-looking statements within the meaning of the Securities Exchange Act as amended. Actual results could materially differ from those anticipated by such forward-looking statements as a result of a number of factors or combination of factors, including but not limited to the risks identified in our Annual Report on Form 10-K for the year ended December 31, 2019 and in other reports filed by us with the Securities and Exchange Commission. Forward-looking statements reflect the information only as of the date on which they are made. KCS does not undertake any obligation to update any forward-looking statements to reflect future events, developments or other information. And with that, it is now my pleasure to introduce Kansas City Southern's President and CEO, Pat Ottensmeyer.
Pat Ottensmeyer: Thank you, Ashley, and good morning everyone. Welcome to our first quarter earnings call. I'll start on Slide 4. You’ll see this quarter we are going to shorten the prepared comments, that’s our intention and leave a bit more time for Q&A given the situation that we are in right now.  I would like to draw attention to the participants on the Q&A, and specifically introduce John Orr. You may have seen a press release that we issued yesterday after the market closed announcing that John had joined our executive team as the Executive Vice President of Operations. John, many of you probably know John spent 20 plus years at Canadian National, just a wealth of experience in transportation, terrific leadership positions in safety and environmental, and in other aspects of operations. John's been working with us for the past two months as an executive consultant. So he's had an opportunity to really see what we're all about. And we've had a chance to see how John operates and I can tell you, it's just been a tremendous fit. John has jumped in with both feet and really helped us in the two months that he's been here and just delighted that he's here and available to move into this position, and welcome John to the team and congratulate John on this appointment.  Sameh will continue as you have seen Sameh for the past two plus years, leading our PSR initiatives, particularly as we head into this important Phase 3 focusing on the customer touch-points and service sustainability.  And then Jeff Songer will continue on as an executive member of our executive team and really dedicate his focus to strategic merger planning. As you know, we have been granted a protective order by the STB, which allows small group of individuals, executives from both companies to go into the zone of confidentiality and begin to share information to develop our merger case, and our merger application, including network wide operating plans, safety integration, environmental impact, and many other things.  I can tell you it is a massive amount of work. And we want to put someone in that position as has Canadian Pacific to really build the strongest case that that we possibly can as quickly as we can. And Jeff is really ideally suited to fit into that role given his experience and knowledge of the KCS, not only operations, but really all aspects of our company. So, congratulations, Jeff on moving into this role, which is arguably the most significant strategic project we've ever faced. And welcome and congratulate John Orr to the Executive Team at KCS. With that, I'll move to I believe Slide 5. Before I get into the quarter, I'll just spend a few minutes talking about the merger process and updating you all on where things stand. And I will refer to this slide and these statements in the Q&A. There's really only so much we can say at this point about the process and process leading up to this point, as well as the process going forward, I'll give some additional disclaimers here in a second. But, everyone knows on March 21 of this year we announced an agreement to merge with Canadian Pacific in a stock and cash transaction representing an enterprise value of approximately $29 billion for KCS.  We will close into the plan as we will close into a voting trust, where common shareholders of KCS will receive 0.489 shares of Canadian Pacific and $90 in cash for each KCS common share they hold. Because this consideration includes both cash and stock, in addition to receiving an immediate cash payment, KSU shareholders will be able to continue to participate in the upside of this very exciting combination going forward with some powerful and compelling synergies, and we think an opportunity for superior shareholder returns well into the future.  As a result of the exchange ratio and the consideration as part of this transaction, KSU – current KSU shareholders collectively will represent about 25% ownership in the new combined company. This is really a very exciting, historic and transformative combination. You've seen a lot of the material that we've made available publicly, but this will create the first rail network connecting the United States, Canada, and Mexico, and is expected to provide enhanced competitive alternatives to existing rail service, resulting in improved service options expanded service options to all of our customers and potential customers as a result of this combination. We will remain the smallest of the six Class 1 railroads measured by revenue. The combined company will have a larger and more competitive network service options that don't exist today, and operate approximately 20,000 miles of rail employ close to 20,000 people and generate combined revenues of nearly $9 billion. There has been tremendous shipper and customer support for this transaction. And this combination is evidenced by more than 375 letters of support from shippers, partners, ports, transload facilities, other business partners of both Kansas City Southern, and Canadian Pacific. Finally, speaking for the KCS side, very excited about this combination and what it provides for our employees, and our presence here in Kansas City. As you have heard, our corporate headquarters is in Kansas City, Canadian Pacific, obviously in Calgary, but as part of this announcement, we have also announced that the U.S. headquarters will remain in Kansas City for the combined company. We know there will be a lot of questions about process, which we really cannot answer because we don't have the answers to those questions. As for the process that led us to this point, we will simply refer those to the proxy statement that we expect to have available within a matter of a couple of weeks. And so, just be warned that if there are questions in the Q&A section about how we got here, I will refer to the proxy statement that will be available in two to three weeks. As for the STB process, again, the next step in this process is up to the board to decide the path, the old rules versus new rules, and take a position on the KCS waiver. You've seen a lot of testimony and statements and objections and responses that have been provided publicly. And that's really all we will have to say about this. I will refer you to a couple of, I think very powerful statements that I'm sure most of you have seen, many of you have reported on in those statements from William Clyburn, former Vice Chair of the STB at the time of the new merger rules and the and the KCS exemption. And then former Senator and Congressman Byron Dorgan also provided a very powerful statement in support of the process that we have laid out and the transaction. Shown on this slide also is a website that we have created that has massive amount of information. I'm sure many of you have spent time there, but if probably refer some questions to the website, where we have a lot of detail, including access to all of the shipper support letters, and the two letters that I mentioned from former STB Vice Chair, William Clyburn, and former Senator, Byron Dorgan. So with that, I will move on to the subject of the call here, which is our first quarter results. We'll get into more detail here over the next few minutes. But you can see, revenues fell by 4% during the quarter, due to lower volumes, volumes down about 1%. Fuel and foreign exchange adjustments account for 3 percentage points of the decline in revenue. So, adjusting for fuel and foreign exchange, our revenues would have been down 1% and volumes down 1% as well. The first quarter operating ratio, I'll focus on the adjusted operating ratio of 61.4 was 170 basis points higher than last year for reasons that many of you well know, including some service disruptions caused by severe winter weather polar vortex weather in much of our service territory during the first quarter, as well as COVID-related labor shortages, particularly in Mexico as a result of the Mexican government health decree and the impact that had on the availability of crew labor during the quarter. Our first quarter adjusted earnings per share of $1.91 is about 3% lower than last year. In the case of operating ratio and earnings per share, the major adjustment is for the transaction related expenses of about $19 million. And Mike Upchurch will cover that in greater detail in a few minutes. I will take a minute to talk about our commitment to ESG, specifically fuel safety and service on this slide. Through PSR and investment in fuel saving technology, we continue to focus on improving fuel efficiency and partnering with our customers to limit supply chain emissions. As an update, we are well ahead of our target to reduce greenhouse gas emission intensity of at least 12% by the year 2025. Additionally, we've committed to a more challenging science based target in support of the goal of limiting global warming to well below 2 degree centigrade above pre-industrial levels. We realize ESG is much broader than emission reduction and take pride in our holistic approach at KCS. We hope that you take the opportunity to review our latest sustainability report when it is published later this spring, as it will showcase many of the actions that we've taken over the last year and expect to take going forward. Additionally, in 2021, we are adding safety and service specifically trip plan compliance measures to our annual incentive plan for management employees, and specifically, safety and trip plan compliance for the executive management team and operations management to further drive safety and customer service accountability throughout the organization. Moving on to Slide 7, I won't spend a lot of time here, but despite the first quarter challenges, we are confident reiterating our multi-year outlook, including the guidance that we provided for the full-year of 2021 back in January. This obviously implies some upsides throughout the rest of the year. We feel very good about our volume outlook, and the economic recovery appears to be in full swing, and our network remains the beneficiary of several unique growth opportunities driven largely by refined products, exports from the U.S. Gulf Coast into Mexico. Mike Naatz will talk about that both the historic growth levels and our outlook for that business in a few minutes. Finally, we don't show it here on this slide, but we are committed to improving customer service. As I mentioned, we are including customer service metrics in our annual incentive plan targets for 2021 for executive and operations and other employees throughout the company. So, we'll talk more about that in the coming minutes. I'll close with Slide 8, key operating metrics. Just as you can see from the chart here, it's a bit of a mixed bag for the quarter. Dwell and velocity were both materially worse year-over-year as lingering network congestion exacerbated by the Polar Vortex and COVID-related crew issues, especially in Mexico, impacted our train operations during the quarter. You can see active locomotives are now up slightly year-over-year as we have consistently been removing locomotives from storage to assist with our service recovery effort and get back to a net network performance that we are comfortable with. And despite weather impacts, you can see we are still maintaining the increased train links that we gained during PSR phase II last year. This has allowed us to move roughly the same amount of GTMs with 12% fewer crew starts than the previous year. As we continue our PSR phase III efforts in 2021, our primary focus will be regaining the service improvements made during PSR phase I, while maintaining the train link gains that we made during PSR phase II last year. The end result will be more fluid and more cost effective network that we can use to drive revenue growth as we continue to focus our industry leading volume and revenue growth.  With that, I will turn the presentation over to Mike Naatz.
Mike Naatz: Good morning, everyone. Thank you, Pat. I will begin my comments on Page 10 with an update on our first quarter volumes and revenue performance. As Pat mentioned, our overall revenue was down 4% on a 1% decline in volume. Holding FX and fuel price constant revenues would have been down only 1% on a year-over-year basis. If you feel pretty good about this, considering that we had some headwinds during the period, including February's Polar Vortex, the global semiconductor chip shortage, network congestion, and then a slower recovery at Lazaro Cardenas The core pricing and contract renewals are similar to previous quarters. We continue to maintain a disciplined pricing strategy. We are targeting inflation or better price increases. Right now the macro pricing environment appears to be very healthy. Looking at the business segments, chemical and petroleum revenues rose a very nice 16% in the quarter. This was primarily driven by tremendous growth in our refined product shipments. As you will see or may have noted in the appendix, Mexico energy related business posted a 47% year-over-year volume increase. Refined products volumes grew at 56% with manifest traffic leading the way. In March, refined product volumes were up 69% on a year-over-year basis. Growth in this segment that was partially offset by lower plastic volumes as the Polar Vortex affected Gulf Coast manufacturing operations. Industrial and consumer business segment experienced a 16% year-over-year revenue decline as volumes were off 13%. Weakness in demand and changes in sourcing patterns created a significant shortfall in our metals business. We continue to see lower demand for oil and gas drilling pipe, metals used in automobile manufacturing due to the chip shortage and for metals products used in infrastructure projects, particularly in Mexico. Our Forest Products business underperformed as tight inventories, the Polar Vortex and network congestion caused shippers to temporarily change transportation modes. Our appliance business remains strong. On the Ag & Min side of things, revenue was down 8% on a 4% decrease in carloads. Weather in resulting network congestion caused slower cycle times, which was the primary contributor for the shortfall. Demand does remain strong and we expect the business to bounce back as fluidity returns to the network. The energy business actually benefited from the colder weather and we did see an increase in demand for utility coal. In the near-term, we expect that the demand for utility coal will be favorable as utilities rebuild their stockpiles. Of course crude oil was down due to weak demand. Looking at the Intermodal segment, we encountered a bit of a mixed bag. Volumes were effectively flat, U.S. domestic carloads grew 13%, and our cross border franchise business grew at 7%. This growth was fully offset by declines in the Intermodal Auto Parts movements, which was again driven by the chip shortage and lower year-over-year Lazaro volumes, which have been slower to rebound following last quarter’s teachers’ process. The good news is that the business continues to sequentially improve and we are actively working with our shippers to regain volumes. These changes a mix are driving the change in our revenue per unit in this segment. Adjusting for the auto parts and Lazaro impacts, volume and revenue would have been up 10%. We do see a rebounding economy, e-commerce growth, and tight truck capacity as favoring this sector. Lastly, because of the semiconductor shortage, which resulted in a number of plant shutdowns in Mexico, our automotive volumes in revenues were down 18% respectively. Although the semiconductor shortage remains a bit of a concern, some previously closed plants have begun to reopen. Turning to Page 11, you'll find our 2021 outlook. Again as Pat mentioned, despite the slow first quarter start, we are confirming the double-digit growth guidance we provided in January. In our last earnings call, you may remember, we provided a bridge, which supported our 11% to 14% growth on an FX and fuel surcharge constant basis. Favorable COVID comps, particularly comparing the second and third quarters, aided by a favorable macroeconomic environment should provide another 6% to 8% year-over-year lift. While the mix has changed a bit, we continue to believe our unique growth drivers will contribute another 4% to 5% to our overall growth. And lastly, we noted favorable Lazaro comps, which are expected to provide a little bit of a bump in the fourth quarter. Looking at the business units, we reiterate growth in all but one of our business segments. Ag & Min demand is strong, and we have an opportunity to benefit from carryover catch up as cycle times improve. The automotive sector continues to see strong consumer demand and low vehicle inventories. And we believe the OEMs will look to recover production, which was lost due to the semiconductor shortage in the second half of the year. Refined products remains a nice unique growth driver for KCS and it continues to exceed our growth projections. With respect to the energy business unit, utility coal is expected to provide some near term upside as customers replenish their stockpiles. With respect to our Port Arthur project, Port Arthur DRUbit opportunity continues on schedule for the third quarter, and this will drive strong crude oil growth in our energy sector. These positive drivers are somewhat offset by the industrial consumer segment, where in addition to weather events, we're experiencing some sourcing shifts and delays in metal plant openings, which are causing us to reduce our volume outlook. Finally, our Intermodal outlook is largely consistent with prior plans and we continue to be bullish on our U.S. domestic and cross border growth opportunities. In summary and looking forward, we remain very optimistic about 2021. The combination of our revenue opportunities paired with an increased service focus as a result of PSR phase III, we should drive an impressive growth here for KCS. And that concludes my comments. With that, I'll turn things over to our CFO, Mike Upchurch.
Mike Upchurch: Thanks, Mike and good morning, everyone. I'm going to start with our first quarter results. As Mike indicated, carloads and revenue declined 1% and 4% respectively. Fuel price and FX did negatively impact revenue by 3 percentage points. Our reported operating ratio of 64.2% includes 19.3 million of merger costs that we incur during the first quarter, primarily banking and legal fees. Our adjusted operating ratio of 61.4 was up 170 basis points year-over-year, and that did include a 90-bit negative impact headwind from fuel surcharge lag and a 110 basis point headwind from congestion and weather during the quarter. Rapidly escalating fuel prices during the quarter have created an $11 million fuel lag headwind from Q4 2020 to Q1 2021. We saw fuel prices increase $0.50 per gallon or 29%. And given more stable highway diesel prices recently, we would expect some reversal of this negative lag to begin benefiting us going forward. Our reported diluted earnings per share were $1.68. Adjusted for FX and the merger costs I mentioned previously, our adjusted EPS, diluted DPS was $1.91, down 3% from the prior year. So, let me put our first quarter into perspective and provide a little bit of color why we continue to believe we're on track to meet our guidance for the year. As Mike discussed, the Polar Vortex certainly depressed revenue in February, and the auto chip shortage weighed on automotive and auto parts volumes throughout the first quarter. Offsetting those impacts were strong chemical shipments, particularly the refined product into Mexico. And while the quarter didn't measure up to our expectations, both financially and operationally, if you look at the three months during the quarter, I think this is important. January and March were essentially in-line with our financial expectations. We dealt with an incredibly difficult weather conditions in February that in many ways were far worse than some of the most severe hurricanes that I've lived through over the years here at KCS. Because about 60% of our business navigates through the State of Texas, that dealt was substantial weather challenges, and we're talking about a geography here that isn't accustomed to the kind of severe winter weather. So we saw a really disproportionate impact, including dealing with significant power outages throughout much of the state. You know, operationally we need to improve on the level of service. Our customers are expecting us to deliver. And it's certainly shown in our operating metrics, namely Velocity, Dwell, and trip plan compliance. However, that said, we are beginning to see daylight as months long congestion is beginning to ease at key locations such as the border at Laredo, and in Sanchez or Monterrey yards, with yard inventory down in some locations about 50% since the end of February. Certainly this quarter has created less than a fluid network, resulting in incremental costs during the quarter, but that should begin to ease as we progress throughout the year. We're bringing back more employees and locomotives to handle what we continue to believe will be outsized volume growth this year, coupled with capacity improvements throughout our network, and border operations process improvements that are moving us closer to a windowless environment. We think we're on the right path to meet our long standing PSR goal of service begets growth. Moving to operating expenses on the next slide, despite the previously mentioned increase in operating expenses, resulting from congestion and weather, we remained focused on strong cost management across the business. We saw decreases in expenses from FX fuel consumption as a result of lower volumes and GTMs, lower us fuel price, and better fuel efficiency despite the congestion and weather events. Increases in expenses included 6 million in higher wage and benefit inflation, 3 million in higher depreciation, and 3 million of expenses related to COVID, which as Pat mentioned earlier, is in part driven by Mexico having returned to red status for a portion of the first quarter, which allowed at risk employees to stay home while being paid. On February 19, Mexico removed the red light status and in much of our service area, allowing us to fully restore availability to our crew base. And looking forward, as long as COVID cases continue to trend in the right direction, we would expect COVID-19 related expenses to decline relative to the Q1 levels we experienced. The remainder of our expenses, equipment and purchase services, and material and other were essentially flat year-over-year. So, let me move to the next slide and cover comp and benefits and then fuel expense. From a comp and benefits standpoint, we saw a decline of 2% in the first quarter, driven by 7 million in lower headcount, and work hours. 3 million in lower incentive comp, and a million benefit from FX. Those declines were offset by 6 million in higher wage and benefit inflation, and the 2 million in COVID-19 related expenses, largely from the decree in Mexico. The 7 million decline in comp and benefits that we experienced is the result of 7% lower headcount and fewer work hours from lower volumes on our network. We continued our train consolidations driving fewer crew starts, and reduced hours worked equating to an approximately 10% labor efficiency in our T&E crews. For 2021, we continue to expect our headcount growth to be muted, and be well below volume increases as we continue to lengthen trains creating further operating leverage. Fuel expense declined 5% in the quarter, driven by slightly lower fuel price, better efficiency, and lower consumption. For the full-year, we continue to believe fuel efficiency will be a ripe opportunity for us as we continue to improve our cost structure. And then turning to capital allocation, free cash flow was up 18% to 112 million in the quarter. However, excluding the $78 million of locomotive lease buyouts executed in 1Q 2020, our free cash flow was down 35% year-over-year.  However, despite a challenging quarter, we continue to believe we're on track to meet our outlook of 700 million of free cash flow for the year. 1Q CapEx came in at a 100 million. This is up 15% year-over-year, primarily due to the critical investments that we're making in capacity to handle significant cross border growth that we're experiencing. Finally, as communicated on our March 21 merger call with Canadian Pacific, we have terminated our share repurchase program in anticipation of closing into voting trust. During the quarter, we did report 75 million of share repurchases. However, that was the true up from the accelerated share repurchase program that we announced in November of 2020. Until we close into voting trust, and cease to trade as a separate stock, we remain committed to our dividend of $0.54 per share. And with that, I'll turn the call back over to Pat.
Pat Ottensmeyer: Okay. Thanks, Mike. I think we accomplished a shorter presentation. We didn't talk a lot about operations or PSR, but don't take that as any indication that we're any less committed to continue our focus on PSR and phase III. Sameh’s on the phone here to answer any questions. And again, I just noticed – came across a post, an article from Bill Vantuono, at Railway Age picking up on the announcement about Jeff and John Orr, and was reminded that John participated in a series of podcasts about PSR 2.0. So that was a nice reminder that we've really, if anything, strengthen our focus here, not only with Sameh continuing on in his capacity, but with John and his experience. And I think Mike put a lot of really good perspective on the quarter. Obviously, a tough quarter, but I think we managed very well, and very pleased that we still feel very confident in our guidance for the full-year. Just one reminder as we open it up for Q&A, please don't ask me any questions about how we got here through the process, that will all be disclosed in great detail in the proxy statement. And as far as the STB process, we're just not going to be in a position to say much about that beyond what I said in my opening comments. So, with that, let's go ahead and open up the line for questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from Allison Landry with Credit Suisse. Please go ahead.
Allison Landry: Thanks. Good morning. Maybe if you could talk about the opportunities post-merger approval in terms of cross border intermodal, specifically, what are some of the key lanes or corridors where you think you can gain share? Would you expect any impact on the franchise business with the [indiscernible]?
Pat Ottensmeyer: Yeah, I'll take a first shot at that. I think the, you know, the most obvious opportunity for us for really extraordinary growth in intermodal would be the route between Mexico and the upper Midwest, Chicago, Detroit, Toronto, Minneapolis. The combination obviously creates new service lines that are in addition to those that are available today. That is a huge freight corridor, a huge truck market, and we know that there's opportunities to convert and this is one example where the single line service option in premium service sensitive business like intermodal is a real factor in making that opportunity become a reality. There will be investment required. And again, the safety, the environmental benefits of rail versus truck, the size of that market, the opportunity for conversion is a very exciting opportunity for the combined CP KC, but we’ll have to work through a lot of details to put more detail and more substance to that plan.
Allison Landry: Okay. And if I could just sneak a little quick one in, you know you mentioned the trip plan compliance metrics that are now part of the, I think you said, annual incentive comps, what are the specific targets or thresholds that you guys need to meet?
Pat Ottensmeyer: We’re basing this on an improvement, Allison, year-over-year improvement that I think will certainly move us in the direction that we need to be from a customer satisfaction standpoint. And we haven't specifically disclosed those, but the targets will be based on year-over-year improvements.
Allison Landry: Okay, thank you guys.
Operator: Your next question today comes from Jason Seidl with Cowen. Please go ahead.
Jason Seidl: Thank you, operator. Pat and team, good morning, everybody.
Pat Ottensmeyer: Good morning.
Jason Seidl: Pat, you guys have a lot of support, obviously from the whole shipping and railroad community for this merger. Has any of that supports surprised you? And then when you look at the potential revenue synergies down the road since you guys have announced this transaction, has there been anything that popped up that wasn't expected that could be a potential bonus for investors?
Pat Ottensmeyer: In terms of support for the transaction, I think just the number of shippers and others that have come out very quickly is very supportive. And when we add to some of the associations, you know, I think it validates what we believe to be the case as we were getting to this point, which is, this is a combination, unlike a lot of combinations in the past that enhance rail options. And as we said, there's not a single market or a single customer that experiences a reduction in rail options that they have today. There's no three to two or two to one. And I think, you know, given the corridors and the markets that we connect with this combined network and the amount of traffic and freight that's available for, you know, again, going back to the intermodal story, the truck to rail conversion, I think this is going to be very attractive to shippers. And that's reflected in the number of support letters that we've gotten and the quickness of the response. As far as synergies, I'm probably not going to comment on that. And in terms of anything specific, we'll have time to get into more detail about that at a future time.
Jason Seidl: Okay, that was my one. Appreciate the time.
Pat Ottensmeyer: Thank you.
Operator: And our next question today comes from Chris Wetherbee with Citigroup. Please go ahead.
Pat Ottensmeyer: Chris, good morning.
Chris Wetherbee : Hi, thanks. Good morning, guys. Maybe a question about this year and I guess I just kind of curious about some of the variable opportunities, you might have to catch up on the guidance after what was obviously a pretty challenging, you know, first quarter from an operating standpoint, can you talk a little bit about, sort of maybe some of the levers you can pull on the cost side? And or it may be is it more driven by the potential for revenues to accrue at a faster pace as you're sort of lapping very easy comps here over the course of the next several months, but just kind of curious as you go from sort of that challenge in the first quarter, maybe pick up some steam as you move forward towards those guidance points for this year?
Mike Upchurch: Yeah, Chris, this is Mike. I'll take a crack at that. You know, 2021, I think has always been more about our growth than necessarily cost reduction. And, you know, as I mentioned, during my prepared comments, January and March, were basically on our expectations. We dealt with a rough, you know, month of February, for the reasons Mike Naatz talked about. We do believe in the auto sector, you're going to see a strong catch up. The SAR numbers continued to be very, very positive. Dealer inventories down to 38 days, which, you know, is down from an average of like 80 days to 85 days.  So, the OEMs are telling us, they're going to catch up that lost production. You know, refined product continues to perform quite well. You know, production within the country of Mexico continues to decline. And that's giving us a great opportunity to move product from the U.S. Gulf Coast into Mexico. We've got the DRUbit facility that's coming online, Here in third quarter that's going to be a nice boost. We've got a major new steel plant in Mexico that will be available to us. So, we feel really, really good about the growth. We're getting our mojo back on service, you know just another most recent data point, even just this morning, I hate to react to one data point, but the fewest held trains I've seen in the last quarter or so, I mentioned yard inventory being down 50% in some of the key locations.  I mean, I think there's a lot of optimism, the economy looks really solid to us, including in Mexico, we talked frequently about the two cycle economy, the domestic economy there may not be performing quite as well. But when you look at manufacturing and IP with, you know, roughly 80% of the goods being manufactured moving into the United States that business is going extremely well. And we continue to see strong cross border growth. So, we still feel very good about where we're headed here and April's off to, you know, just an amazing start. Realize that's the start of easy comps, but roll all that together. I know that was a lengthy answer, but hopefully it gives you a sense for the excitement we have for the opportunity ahead of us.
Chris Wetherbee: Okay. Yeah, no it sounds like an interesting revenue opportunity. Perfect. Thanks very much. Appreciate it.
Mike Upchurch: Thanks Chris for that.
Operator: And our next question today comes from Tom Wadewitz with UBS. Please go ahead.
Pat Ottensmeyer: Good morning.
Tom Wadewitz: Yes. Good morning. I wanted to see if you could offer some thoughts on the voting trust and, you know, obviously, there's some debate around, you know, Department of Justice said that, you know, shouldn't use it, but they don't make the call, STB does. So, is that something that you think is really important to the transaction going forward or would you say that’s not necessarily, you know, the relationship and the deal is so strong that, you know, that's not necessarily imperative to the deal. You know, I guess if it doesn't happen, then maybe KSU would have additional options, potentially. But just wanted to see if you could offer some thoughts about, you know how much should we focus on voting trust approval?
Pat Ottensmeyer: Well I think the voting trust obviously is the plan to close into voting trust so that the shareholders get the consideration as soon as possible. All I can say is that we have done everything we and Canadian Pacific really has done everything possible to create not only a [indiscernible] squeaky clean trust structure that should, there just should be no basis to, to object, particularly from an independent standpoint. And I think one very strong powerful evidence of that is the selection of Dave Starling as the Trustee. You know, Dave has no prior relationship with CP. Dave ran KCS as a public independent public company with a lot of success for many years. And I think that was just one indicator that we just wanted to – they just wanted to do everything possible here to create the cleanest trust structure and just make it very easy for that transaction to proceed on that basis.
Tom Wadewitz: Do you have a sense of when you'll find out, I know, it's tough to say precisely, but what's your kind of best guess of timing to find out from STB on voting for us?
Pat Ottensmeyer: We really aren't going to comment on that. That's, you know, that's out of our control of we've – we believe the STB wants to move quickly, but we don't have specifics on the timing. 
Tom Wadewitz: Okay. Thanks for the time.
Pat Ottensmeyer: You're welcome.
Operator: And our next question today comes from Bascome Majors with Susquehanna. Please go ahead.
Bascome Majors: Yeah, thanks for taking my questions. I was hoping you could update us on the total revenue on your entire network that has interchanged with other partners, any fresh thoughts on the mix between those partners with that interchange? And maybe an update now that we're approaching a month removed from the merger announcement? You know, any discussions on interchange partnerships? jayvees, that sort of thing? And how am I reacting to the news? Thank you.
Pat Ottensmeyer: Bascome, I'm sorry. You know, just no comment on that on this call right now. I'm sorry. I'm going to fall back to my statement that, you know, we're happy to talk about the quarter, the outlook, and things that we can control and respond to, but we're not going to address those questions on the call.
Bascome Majors: You mean, can you share historically, how much of your revenue has been interchanged?
Pat Ottensmeyer: You know, I don't – honestly don't have that in my finger tips for an earnings call. It's about 80% in the U.S. is interchanged.
Bascome Majors: Thank you.
Operator: And our next question today comes from Justin Long with Stephens. Please go ahead.
Justin Long: Thanks and good morning.
Pat Ottensmeyer: Good morning, Justin.
Justin Long: Obviously, a lot of discussion around different growth opportunities and the merger will help expedite growth in the network. I wanted to ask about locomotive needs going forward in light of this growth, if you could comment on what you're expecting for locomotive needs the next – let's call it 3 years to 5 years and similar question on technology and the level of investment you expect their pro forma for this deal?
Pat Ottensmeyer: Yeah, I again, I'm going to be stubborn about this. We're not going to talk about asset needs after the time of the merger. So, we're happy to answer questions about locomotive outlook for KCS, you know, going forward, but we're really just not going to talk about capital needs beyond completion of the merger. So, I don't know. Jeff, for Sameh, if you want to go ahead. Mike, you were going to something.
Mike Upchurch: Well, I was just going to say, Justin, our guidance on CapEx is 17% of revenue. We still think, you know, on a standalone basis that's a good number for us. That would include any kind of equipment needs we need, including locomotives. So, there's certainly nothing I see sitting here today that would change that equation for us.
Sameh Fahmy: You know, maybe a lot I can add, this is Sameh. We still have a long way to go on our locomotive utilization. You know, we are at about 150 GTMs per available horsepower in U.S. and we’re still at about 90 GTM per available horsepower in Mexico. And you know, our Class 1s have been associated with, they are at about 200 GTM per available horsepower. So, we still have a long way to go on increasing the utilization for our locomotives. And that goes hand-in-hand, those are the last day of the network.  You know, when you have trains, you know, stranded or setting or held. And like Mike Upchurch mentioned, a few minutes ago, we had the lowest number of trains held in a very long time showing up on the report this morning. But when these trains sit, they set [Bruce locomotives] on them, you know, which obviously, you know, is not a good use of the assets. The other things on the border, we, you know, our velocity is really being improved now with significant change in processes.  And John, you know, came in and he's bringing in, you know, a lot of fresh ideas and a lot of intensity and scrutiny, you know train-by-train, you know, why is it waiting and all the rest at Laredo yard. And we changed from 6-hour windows to 4-hour windows this week, which is something we have been working on for two years. So, a lot of this is coming together and the yard inventories are coming down. All that does is improves locomotive utilization. And as a result, you know, we have, we still have a lot of work to do.
Justin Long: Thanks. And Mike you said, some locomotives would be coming out of storage this year, is there a way you can help us quantify that and what it would leave you with in terms of a search fleet pro forma?
Mike Upchurch: I think the slide that, you know, Pat had in his section gives you a sense of what we've brought back out and what the active fleet is, 915 and, you know, 6%, higher, we still have some ability to bring some locomotives back. But again, remember, you know, throughout this whole journey, we're still down about, I think, close to 20% from when we began our PSR journey, and as we lengthen trains and, you know, become more fuel efficient. We were, you know, Sameh talked about the available growth – or the [gross 10] miles per available [HP]. I mean, we're going to continue to lean into this and gain some efficiencies there. So, hopefully we can keep our future locomotive needs at a minimum.
Justin Long: Okay, great. Thanks for the time.
Pat Ottensmeyer: Thank you.
Operator: Our next question today comes from Amit Mehrotra from Deutsche Bank. Please go ahead.
Pat Ottensmeyer: Good morning.
Amit Mehrotra: Hey, everyone. Happy Friday.
Pat Ottensmeyer: Thank you.
Amit Mehrotra: And I'll just keep my one question on pricing. I think Mike, initially you mentioned, you talked about pricing opportunities. It just seems like the pricing environment, kind of everywhere you're looking in the transport complexes is kind of inflecting pretty hard. And I just want to understand if you're seeing better pricing opportunities, and maybe – then maybe what you were envisioning, when you provided the guidance back in January. And Mike Upchurch, I think when you first gave that guidance of $9 in 2021 of EPS, I think embedded in that was kind of a mid-60s incremental margin. And if you're seeing better pricing opportunities, I wonder if there's just a little bit of conservatism in there in terms of what the incremental margins can be, if some of that upside in revenue is driven by pricing? Thank you.
Mike Upchurch: So, with respect to the pricing environment, I think we would agree with you. The pricing environment is very healthy. We're certainly seeing, you're seeing it cross many modes of transportation. You're seeing it on the ocean side. You're seeing it on the truckload side, you're seeing it on the small parcel side, you’re seeing it on the LTL side of the business. So, to the extent that that pricing remains elevated, that certainly provides us with opportunities to be a little bit more aggressive on that front. So, we continue to optimize pricing for yield. And we will continue to do that as we move forward.
Pat Ottensmeyer: And as for the EPS, you know our guidance was $9 or better. So, you can assume that number that we had a little bit of breathing space. I don't disagree with your comments around incremental margins continuing to be strong, certainly as we carry on throughout the rest of the year, but the one thing that I would remind everyone, we certainly had a certain amount of share repurchases built into our plan that we will not be pursuing and models would need to be adjusted for that downward, but we're still comfortable with the $9 or better?
Amit Mehrotra: Yeah, that's a good point. And just one quick one for me just on the trip plan compliance, is [Technical Difficulty] compliances today is that 70%, 80%? I don't know how you do it on a consolidated basis, or maybe by commodity, just be helpful to understand what the starting point is to see what the opportunity is as that improves on a service [indiscernible]?
Pat Ottensmeyer: Yeah. Amit, we're going to stay away from a specific number. We've actually tried to benchmark across the other carriers and everybody defines it a little bit differently. We've got some fairly tight definitions, particularly around intermodal. And so our numbers are going to be comparable to others. But as Pat indicated, we do have incentive compensation tied to trip plan and compliance, and it does require an improvement for us to get paid. So, I think we're going to leave it at that.
Amit Mehrotra: Okay. Thank you. Have a good weekend, everybody. Appreciate it.
Pat Ottensmeyer: You too.
Operator: And our next question today comes from Scott Group from Wolfe Research. Please go ahead.
Pat Ottensmeyer: Good morning, Scott.
Scott Group: Hey, thanks. Good morning. I just want to clarify one of Tom's questions, and then I had a fundamental question. So, the CP filings suggest that this deal cannot happen without the voting trust. I wasn't sure if your answer, do you share that same view?
Pat Ottensmeyer: We’ll refer to the CP filings.
Scott Group: Okay. And then, just fundamentally, so you talk about returning to prior service levels, but maintaining train land, not adding back much headcount, I guess, how do you get back to those prior service levels without adding stuff back? And does it require much ongoing cost to get there?
Sameh Fahmy: Pat, I can answer this. This is Sameh. We are doing very structural changes now, you know, to our network that go far beyond what we have done in phase I and phase II of PSR. And all that while we are very focused on customer service, and trip plan compliance that we talked about and percentages of spotting and pulling and first miles, last mile, so we, you know, the service is a huge emphasis, at the same time the Velocity Dwell, and like Mike Upchurch mentioned, we have significant improvements in Monterey.  There was a team that spent at least two weeks in Monterey going through the switching operations and how to be more effective, you know, in our switching, and as a result with the same headcount, you know, to answer your question, same headcount, which is already in our headcounts, our 9% to 10% below what they were pre-pandemic. You know, we are doing a lot more switching in the yard, and we are servicing, you know, about 500 cars to our customers every day, you know, spotting them, and the inventory levels have come down from something like 3,000 to 1,800, you know, on a on a typical day.  At the same time, Sanchez, you know, which is another yard, which is very, very much impacted by Monterey, you know, it used to have something like 1,500 cars waiting to go to Monterey. Now, it's about 300 cars, you know, waiting to go to Monterey. So, there is structural improvement, you know, to the way our yards are running. And the same is true with Shreveport where we have made some design changes. Shreveport is in U.S. side now. We made some adjustments, you know, to balance, you know, fine tune, you know, the requirement for train length was a requirement for velocity and Dwell, and you know, fine tuning it a bit because, you know, during the pandemic, our whole effort was increasing the train length to the maximum. Okay by about 14% now.  Now, you can dial it down by only 1% or 2%, you know, until we get the infrastructure in place to support it. And what I mean by infrastructure is that the tracks in the yard have to be long enough to support these long trains. You know, otherwise, every time the train comes into the yard you have to split it in two, we call it bubbling over, you know, two tracks and that kind of thing. So, we are doing a lot of process changes, particularly around the border area, things as simple as customs papers.  We are finding that a lot of things that come into Laredo yard, you know, especially from the refined product, which has served by like 60%, 70% it all generates from the Houston area, and it goes to Monterey, exactly the area of the network which is most sensitive to traffic. And when a train comes in and it has four or five or seven cars that have not – don't have the proper paperwork for customs, guess what happens. You know, in the yard, now you have to take out these cars from the train, and it slows down the whole operation.  So, this is a simple process correction that you can work on with the customers and improve the fluidity of our network. So, you have the process changes. At the same time, you have the infrastructure investment that we have been working on now for many, many months. You know, to increase, you know, the [train lead] lengths in a yard, so that you know while you're putting a [indiscernible] in the yard, you don’t block them in line because everything now is longer. So, you increase the trip, you know the length of that track. And while doing that, at Sanchez, we are doing it at San Luis Potosi, we’re doing it at Laredo.  So, you have the infrastructure improvements that are ongoing. You have at the same time, you know, this process improvement the way you know, you do the work itself without any dollar of investment. These are two big buckets. And I'm sure that not the least is fuel efficiency. And there is still a lot of room and fuel efficiency. You know, we are at about 1.2, I think 1.26 gallons per KGTM. We want to be at 1.16 gallons per KGTM.  And now we are doing experimentation with strains, where we strip them of one locomotive. You know, so instead of four locomotives, you run with three or instead of five, you run with four, by increasing the rating of each locomotive and making sure that the [indiscernible] rating and seeing if the train actually would make it, and it does make it. And when you do that, you save locomotives, and you have a huge improvement in fuel efficiency.  So, we have a couple of trains where we had 34% improvement in fuel efficiency, 15% improvement in fuel efficiency, obviously, we cannot do that with all the trains. But you can just imagine the, you know, the room that we have here on fuel efficiency. So, all these things are beginning to happen. And we are really going to see in the second six months of the year, but some of them are going to be in Q2 and that's the structural, you know, cost efficiency combined with service that will bring in a lot more revenue. And that's phase III.
Scott Group: Thank you, guys.
Operator: Our next question today comes from Brian Ossenbeck with J.P. Morgan. Please go ahead.
Pat Ottensmeyer : Hi, good morning.
Brian Ossenbeck: Good morning. Thanks for taking the question. Maybe, you can just give us a quick update on political landscape in Mexico, and we've seen a few headlines, maybe you can help fill in the blanks. Energy reform, clearly very strong, easier comps coming up, but there's another bill looking like it's going to put the private sector at least a little bit behind public. You know, last time we saw that in utility land, it was challenged in the courts immediately assuming that will happen here, but didn't know if that affected sentiment in any shape or form. And then lastly, on the on the outsourcing bill, it looks like there's at least some negotiation on the private sector, because that does seem to be coming back. You can share your thoughts on that and potential offsets that would be helpful. Thank you.
Mike Upchurch: Yeah, Brian, I'll go ahead and take the labor outsourcing. Yeah, you're right. There's some momentum forward on that with the bill in Mexico. You know, once we see the final bill and it's been approved they have 30 days to then provide, you know, all the details behind that bill, the detailed regulations. So, we still have a little bit of time, but before we kind of get a good assessment of that, but at least what we've seen so far heard so far would suggest this is going to have a lesser impact to us than what we might have initially thought. We don't believe this is going to have a material impact, predominantly because of the concept around a cap that's been proposed here. And that cap, in light of what we're already paying in PTU and profit sharing, we believe what will not be a material increase in our labor expense.
Pat Ottensmeyer: With respect to the energy reform question, I think the way you characterized, it's probably pretty straightforward. Yes, there were some changes that pass through the lower house in Mexico. Those have to go through the Senate, there is some belief that that will continue. It could put additional pressure on some of the smaller manifest type shippers who don't have the storage capacity available to meet the government requirements on that front. To that extent, it may favorable some of the larger players which would frankly just drive up our unit train business.  I think this is really a function of supply and demand. And you know, Mexico has the demand, the PEMEX is unable to meet all of that demand. And so we continue to believe that the fuel is going to continue to be imported into Mexico into the foreseeable future. Might there be a challenge to this like there was with the electricity side of things? Yes, quite possibly. And like I said, I believe that your characterization is accurate. But again, I'd focus on supply and demand.
Brian Ossenbeck: Right. All right.
Mike Upchurch: And Brian, just to emphasize again, I mean, production continues to decline, right, 10%. You know, the demand environment hasn't fully recovered. But we would expect that to begin crossing that breakeven point here, given all the stay at home orders a year ago. And when you look at importation by third parties that's up dramatically, which plays, you know, extremely well to our business. So, we continue to have a very positive outlook on that business.
Brian Ossenbeck: Alright, thanks, very helpful.
Operator: Our next question today comes from Ken Hoexter with Bank of America Merrill Lynch. Please go ahead.
Ken Hoexter: Great. Good morning. Can you talk a little bit about the North American supply chain fluidity given the timing of your return of velocity and Dwell post the storms? And then given those PSR gains, you mentioned that the Loco as you took out of storage? Would you look to put those back into storage, if you improve the fluidity, and I guess your thoughts on the employee reductions, and just the overall North American network congestion? Thanks.
Pat Ottensmeyer: North American supply chain fluidity, I'm not sure exactly what you're looking for Ken, but you know, I mean, just look across the board and Mike touched on it. Freight capacity is tied everywhere. Certainly ocean trucking, rail, we're not the only railroad that's experiencing capacity issues and service issues. And but, you know, I think we believe that a lot of this is a function of just the disruption, the shock to the system of in our case, you know, really go back to fourth quarter of last year with hurricanes. I know that's – it's ancient history. But as we were recovering, and kind of getting back on our feet, and we got hit with the COVID related labor issues in Mexico, the red, yellow green status, which really caused a lot of stress on our crew base in Mexico.  And then, of course, the Polar Vortex, but, you know, just speaking for ourselves, I think, you know, we've talked about this that we can see trends and indicators that we measure that give us a lot of confidence that at a high level, we're seeing improvement, congestion in yards and other measures that we look at every day, show that we are we are getting better and we're seeing improvement in those trends. We need to see that in customer touching and customer facing metrics to a greater extent. So that's really the primary focus here. We've brought back resources.  We brought back locomotives and crews, we're hiring new crews. So, just looking at what we control in our own network, we're bringing back resources to really get the network performing the way we want it to. And we know it needs to, because we also know that we've got growth opportunities that we want to be able to go after and to pursue. I don't know if that's the kind of answer that you were looking for, but you know, really more focused on our own situation than the broader North American issues.
Mike Upchurch: Ken, I [indiscernible] last year, I mean, we had a 25%, 30% reduction in volumes and a 50% bounce back we've, I think done a pretty solid job of scaling down resources, whether it's labor equipment, then bringing it back, clearly unprecedented, kind of downward turn and bounce back that we saw. That’s made things a little bit challenging, but we're going to continue to do the right thing from both the labor and equipment standpoint to make sure we can meet our customers, expectations and if things will level off, we'll put equipment back into storage. So, we’ll be very adaptable.
Ken Hoexter: Yeah, Thanks, Mike and Pat. I guess the only thought, I guess maybe more detail or follow up would be just, is there a timing when you think you get to that fluidity? You know, is it you know, just on these trends, would it be back half that you'd expect to be back to your operating levels that you could pull out some of those extra locomotives or employee reductions? Any thoughts on that?
Pat Ottensmeyer: As soon as possible. We got a couple more in queue, why don’t we try to get…?
Ken Hoexter: Thanks.
Operator: All right. Thanks everyone. Our next question today comes from David Zazula with Barclays. Please go ahead.
David Zazula: Good morning. This is a question for Mike Naatz. Just on the industrial and consumer outlook, I wonder if you could provide a little more color on the sourcing shifts and delays in plant opening in Canada, the relative impact of those and whether the sourcing shifts are more transitory or structural? Thanks.
Mike Naatz: Sure. So, down in Mexico, there was a couple of steel operators, one of which provided flab to another provider on the north-end of Mexico. That length of haul has changed as the consumer of the slab has changed their source. So, we no longer have that sort of long length of haul from the southwest portion of Mexico, into the Northeast portion of Mexico. With respect to other metals manufacturing, a number of facilities or new lines that were supposed to open up with these piece plants have been delayed as a result of COVID. So, the manufacturing of new products or expanded products is going to be delayed along with that.
David Zazula: Great. Thanks very much.
Mike Naatz: Sure.
Operator: And our next question today comes from Jeff Kauffman with Vertical Research Partners. Please go ahead.
Jeff Kauffman: Thank you very much, and congratulations on a lot of exciting things going on. I actually had a question for John Orr, John, you know, I'd love to get your perspective as someone coming in from the outside and looking at the operating fluidity at Kansas City. And you came in at a very interesting time, but you know, relative to what you're seeing going on, given your prior experience, is there anything that surprised you in terms of the operations of the railway? And can you give us an idea for maybe some of the ideas you might have that might be new and different from the way things are going?
John Orr: Thank you for the question. And thank you for bringing me into the conversation. So, first, I have to thank Pat and the team for bringing me on. It is such a wonderful opportunity. [Technical Difficulty] great team. And, you know, I think they're – what you’ll expect from me is continuity from my friend and colleague, Sameh Fahmy and the energy and the focus detail, and the complimentary strategic views that Jeff has brought to the table, as far as capital investment, people development, and customer service and focus. But one thing I'll tell you, I am so impressed with is, is the team, and the entrepreneurial values and perspectives they have. And I'm really looking forward to building value, and doing it safely, and doing it with the focus of customers and the health of the railway.  So, for me, I love to get granular and meet with train masters, meet with locomotive foreman, meet with engineering folks out on the [Leeds building trucks], because I completely respect the contribution and people who work night and day to run the railway.  [Indiscernible] make it as simple and predictable as I can for them, and as predictable and valuable for our customers. So comparing things, I think this is a world-class operation. The people I've met in Mexico, I spent the first four weeks of the sixth I've been on the team in Mexico or just top drawer. And that goes with the people and the processes in the infrastructure that I've seen in the United States as well. So, I'm impressed. I'm humbled and encouraged by how valuable and how much contribution this company can make to the North American economy.
Jeff Kauffman: Well thank you and best of luck. I'll keep it short because I know the calls going on. Thanks, everyone.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Ottensmeyer for any closing remarks.
Pat Ottensmeyer: Okay, thank you all for your time and attention. And you're good questions. Just a summary, obviously a tough quarter, you'll hear that probably across the entire sector. We feel great and still very confident about the outlook. The opportunity for growth. We've got the great – we have best, we got a great team, we got to focus. I think we're very confident and optimistic that we are moving in the right direction in terms of service metrics. Focus on PSR continues to be very high. And obviously with Sameh continuing in his capacity and John coming on board, I think you'll see us deliver continued benefits on that front. And we know there are revenue opportunities and growth opportunities out there for us and very pleased to see Mike Upchurch dust off the service begets growth motto that is alive and well. And we believe that’ll put us in great position in the quarters ahead. So thank you again and we'll look forward to seeing you in about 90 days, if not sooner. Thank you.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentations. You might now disconnect your lines and have a wonderful day.